Unidentified Company Representative: Good morning, good afternoon and good evening for investors coming across the globe. Let us have around 30 more seconds for the rest of the participant to dial in. After which we'll start the presentation proper. Thank you, everyone for joining this call. All right. Thank you, everyone for joining to this call. So this is Ohmyhome Limited’s Financial Year 2023 Results as well as Financial Year 2004 Outlook. Our stock ticker symbol is OMH and we are listed on NASDAQ. Together with me, we have Rhonda Wong, who is the CEO, and I myself, am Leo [ph] the Head of Investor Relations of Ohmyhome. Before we start, we have some important notices and disclaimer, which will be presented in the next slides. So in this presentation, there are forward-looking statements that reflect our current expectations and views of future events, part of which are subject to risks and uncertainties. If used the words believe, may, will, estimates, continue, anticipate, intend, expect and similar expressions are intended to identify forward-looking statements. Forward-looking statements give our current expectations or forecasts of future events. You can identify these statements by the fact that they do not relate strictly to historical or current facts. These statements are likely to address our growth strategy, financial results and product and development programs. You must carefully consider any such statements or should understand that many factors could cause actual results to differ from our forward-looking statements. These factors may include inaccurate assumptions are brought in a variety of other risks and uncertainties, including some that are known and some that are not. So no forward-looking statements can be guaranteed and actual future results may vary materially. Factors that could cause actual results to differ from those discussing the forward-looking statements include but not limited to assumptions about our future financial and operational results, including revenue, income, expenditure, cash balances, and other financial items. Our ability to execute our growth strategies, including our ability to meet our goals, current and future economic and political conditions, our capital requirements and our ability to raise any additional financing, which we may require our ability to attract customers and further enhance our brand recognition, our ability to hire and retain qualified management personnel and key employees in order to enable us to develop our business, trend and competition in the brokerage and related industry and other assumptions described in this presentation underlying or relating to any forward-looking statements. We describe certain material risk, uncertainties and assumptions that could affect our business, including our financial condition, the results of operations in the prospectus. We base our forward-looking statements on our management’s beliefs and assumptions based on information available to our management at the time of the statements are made. We caution you that actual outcomes and results may, and are likely to, differ materially from what is expressed, implied or forecast by our forward-looking statements. Accordingly, you should be careful about relying on any forward-looking statements. You should we -- also be noted that our auditors have not completed our audit -- and of our financial statements for the financial year of 2023. We do not expect material changes to such financial statements and as a result, we'd like to update you as to our results. However, it should be noted that there is no guarantee that our audited financial results of 2023 will not materially differ from those being discussed here in and as a result should not be relied upon until final audit has been completed and our 20-F has been filed with the US Security and Exchange Commission. Inside this presentation, there are also non-US GAAP financial measures, which include adjusted EBITDA, adjusted EBITDA margin. Ohmyhome uses these non-US GAAP financial measures for financial and operational decision making and as a means to evaluate period to period comparison. And Ohmyhome’s management believe that these non-US GAAP financial measures provide meaningful supplemental information regarding performance by excluding certain items that may not indicate -- may not be indicative of his recurring core business operating results. However, there are a number of limitations related to the use of non-US GAAP financial measures. And as such the presentation of these non-US GAAP financial measures should not be considered in isolation from or as an alternative to financial measures determined in accordance with US GAAP reported on Form 20-F. In addition, these non-US GAAP financial measures may differ from non-US GAAP financial measures with comparable names used by other companies. Reconciliation of these non-US GAAP financial measures are to the most directly comparable US GAAP financial measures can be found in the accompanying annex this presentation. So, now I'll pass my time to our CEO, Rhonda Wong.
Rhonda Wong: Thank you very much. Ladies and gentlemen, good morning. I appreciate your presence today as we navigate the projections and Ohmyhome Limited Annual Report of 2023. Now looking back about eight years ago in 2016, my sister Race Wong and myself, when we founded the company, it was really on the back of the fact that the real estate property industry is broken. There are many dishonest agents in the market. There are -- there is opaque information and often times savvy investors are the ones who have accurate information. There are unscrupulous methods in which agents would and brokers would place their incentives above customers’ best interest and on the back of all of that we started a company known as Ohmyhome. We had a vision to be the most trusted and comprehensive property solution for everyone. And we wanted to technology to bring speed, ease and reliability to property related services. Before we started, Ohmyhome, Race and myself, we actually ran an investor -- investment portfolio management company in real estate. And we realized through those times in those years of managing that company, we transacted and traded properties across seven countries. And we realized that even though real estate transactions may differ country to country in terms of rules and regulations, the problems were pretty much the same. Opacity, dishonesty and so forth, has always been the same. And this is why today, when we launch Ohmyhome, we wanted to make sure that the same level of quality services can be extended to the mass market. Now 2023 was undoubtedly a very challenging year for the real estate brokerage scene, especially where we are here in Singapore, and I wanted to address the elephant in the room, which is the end result of our 2023. Our results for 2023 weren't as robust as we had hoped for. Our total operating revenues in Singapore dollars stands at 5 million, US$ $3.79 million, our gross profit S$1.7 million, US$1.3 million, and our net loss SGD5.5 million, US$4.1 million, loss per share S$0.26, US$0.20, our adjusted EBITA negative S$4 million, negative US$3 million. The Singapore property market experienced a notable decline, which reflected the broader challenges that all of us in our industry faced. In fact the government introduced some taxes, which they do from time-to-time to ensure that they can call the market for a while to basically pause selling our properties. So that was one of the rules -- some of the rules that we experienced in the year 2023. But what I can assure you is that this setback was not in vain. These challenges have made a very solid groundwork for a remarkable turnaround in 2024. I'd like to show you some highlights that we have in the in the year of 2023. In our second half of 2023, we clocked in 2.2 million revenue, which is definitely a grow from the first half where the government cooling measures started. We had additional growth and margins from the property management business that we acquired in October, 2023. This is a tech enabled property management company that manages thousands of units of condominiums across Singapore. Our revenue and first half of 2024 is expected to grow post acquisition and surpass previous two years based on significant increase in sales pipeline and the deployment of HomerAI. It will be my pleasure to elaborate more about that in our later slides. Now our projections indicate a substantial triple digit growth in revenue and we are committed to leveraging our strengths, seizing opportunities and overcoming obstacles to ensure this forecast becomes a reality. Now we listed in March 21, 2023 approximately a year ago at an IPO price of $4. At that time, we had to invest much of our IPO proceeds, as well as most of our proceeds in the past into the building of technology. The shares outstanding is 22.79 million shares, our last closing price is at $0.77 as of April 17 yesterday, and you can tell with our last 90 days trading price of $0.71 to $6 that we're trading pretty much at our lowest -- on the range of our lowest trading prices. Our analysts rating $3 by Maxim Group, $3.70 by Zacks SCR. Shareholding structure has had a shift ever since those who have doubt in the last time. The founders are holding 36.9% which is Race Wong and myself, insiders 7.8%, public shareholders 55.2%. Now for those of you who are joining us for the very first time, I'm very happy to be able to share with you about Ohmyhome, what we do as a company and how we're so excited and optimistic about our future into becoming a super app as a property one-stop shop. Now Ohmyhome is all about data, we are all about property technology and we're all about transactions. So you can think of yourself as a seller, buyer, tenant or someone looking to do interior renovations for your home. You can start with research on our platform, we have blogs, we have evaluation guides and really amazing tools that customers can use free of charge. And then when you decide to sell your home for example, you can choose to do it yourself or you can choose to engage our agents where you will pay Ohmyhome between 1% to 3% in commission revenue. This revenue takes up a very good portion of our total revenue at about 56%. Thereafter you have mortgage and legal, we provide both of this, we work with banks, we work with law firms to ensure that when a transaction is done, it can be done seamlessly. Now we then also started a renovation subsidiary within Ohmyhome. The reason is because as customers had a very wonderful journey transacting their properties with us, they then had another hiccup in our property industry which is the renovation sector, where there is also very similar issues with transparency, reliability and so forth. So renovation, what we do for you as a customer is that we will go through the entire designing process, project management until completion and handover of the project of your home back to you. So the revenue that comes through our company is the entire contract value. Lastly, we acquired a property management company last year in October where there is recurring income for the company month on month as we manage the entire condominium block similar to a multifamily in the States. So this is us as a one-stop property company and sometimes I often do get the question of how are you a tech company? So before I launch all into the kind of technology that we build at our company, I want to first showcase the results to you so you understand that there is no way that Ohmyhome can have these results without our amazing technology. Now first and foremost, seven days is what it takes for 65% of our deals to be closed on average. Seven days. In Singapore, it's generally over 100 days. So we are extremely fast, we are extremely efficient. And I want to share with you the technology that helps us get to this would be the technology known as MATCH. Now secondly, we don't just sell fast, we're also able to sell over 73% of our property above market average prices. So you heard me right, we don't just sell your property fast, we also sell them generally above market average prices because market average prices are set by most of the traditional freelance brokers in the market. Ohmyhome is not a traditional freelance brokerage model, we are a highly fast-moving technology propelled company. Lastly, with all of these results it is no wonder that Ohmyhome is rated 4.9 stars. We are the highest rated property services company in Singapore with over 8,000 genuine five-star reviews. Now, if you look at these three statistics, you must be wondering if you could also enjoy this. Because wherever you may be, I know my audience today are from America, India, Singapore, and around Southeast Asia. You must be wondering if you think about your own brokers, your own agent, they generally are not able to perform at this results that Ohmyhome can. And this is why we are very firm believer that Ohmyhome is the future of property transactions. And we definitely look forward to scaling across the world to be able to serve more of our audiences. While all of this thus far has been shared by myself, I would like you to have a listen to one of our customer testimonial video. In this video, she expressed, she expresses and explained her transaction experience with Ohmyhome and how a property that she has not been able to sell for three years was then transacted by Ohmyhome across our entire one-stop ecosystem. So please have a listen. [Video Presentation] So there you go. That is just one transactions. We have done over 15,500 transactions since inception $3 billion in gross transaction value and our agent efficiency is more than 13 times of the industry average. We have over 750,000 downloads globally since inception, and more importantly, over 200,000 monthly active users. This active users contribute to how we are able to sell in seven days, because we're able to aggregate all of them and be able to match them. Now, when you see all of the statistics and some of the times, people ask me, why is your stock not doing well? Well, the thing is, I hope today with our sharing you'll be able to understand the comparison between us and traditional brokerages were nothing like a traditional brokerage. Now, on this chart, I'm showing you the efficiency of Ohmyhome agent, as compared to Singapore's top four agencies by number of agents. So you can see Ohmyhome transaction volume per agent across the years have always been extremely strong. These are the top four agencies in Singapore. And you can see no matter what year you're looking at, no matter which agency they are all operating much normal number. This is not a bad number. This is a very normal number, where each agent is transacting about 4.5 deals per year. This is a common number that we see across the world, including in the United States. At Ohmyhome, we don't operate normal. We operate super. Now, if we compare with property technology company in the United States that you might be familiar with Compass, eXp, Real Brokerage, Redfin, you'll see that Ethan, the most efficient company, we are still over two times more efficient than them in terms of number of transactions per agent. Now, how are we able to sell so fast in seven days? MATCH is the one that is the technology within our company that I will give the credit to. So MATCH is completely built in house and what MATCH does is we aggregate high quality data of potential buyers and we match them against the listings that come through our doors. So, we aggregate all of his buyers that you saw, the 200,000 monthly active ones, and then we qualify them into a buyer pool random to match algorithm and here's what happens, when someone wants to sell their property with just an address. We're able to go into this pool, match with qualified buyers. Generally, we're able to get multiple offers, even on the very first viewing. And then we get the property sold. We collect all of this other data, whether it's the balance of the offers that didn't get the property, the viewers who came, but didn't make an offer. We collect all of this information and we continue to match them more accurately every single time. This AI technology is extremely powerful, because we continuously serve our customers better, faster and more accurately. Now, if we want to compare our agents on the revenue comparison, you'll see this is Singapore dollars. So you'll see that how we calculated this was by dividing the sales revenue of each company by the number of agents. You'll see that Ohmyhome agents brings in more than four times more revenue per agent per year as compared to the largest agencies. Not only are we able to bring in more revenue in terms of sales, I like to share also a little bit more details about our unit economics and why Ohmyhome's business model is actually highly profitable at scale. So let's take this illustration for example. Say the property that we sell brings in a commission value of $10,000. We are now comparing what happens to this $10,000 under a traditional brokerage, a tech enabled brokerage and then what happens on the Ohmyhome in a typical traditional brokerage around 90% of this $10,000 is paid to the agents, the company retains 10% which is $1,000. Now, Ohmyhome, we pay out about 50% not just to our agents, but to generally anything that's involved in the sale, which is our cost of goods sold, salaries, incentives, property listing, expenses, advertising. We keep $5000 which is 5x of any traditional businesses. The number of customers that you need to achieve $10 million in brokerage gross profit in a traditional brokerage, you'll need 10,000 of these customers. We only need 2,000 of these customers. Now, in terms of additional revenue streams, generally traditional brokerage they don't have much. However, at Ohmyhome, not only are we able to sell the property for our clients, we are able to buy their next home for them. We're also able to help them renovate their homes, which is generally quite a high ticket item with 20% margins. We potentially are also able to property management fees from this customers if they are managed by our property management division. So, when you add up all of this potential income that we can derive from one single customer, we're looking at about $13,400 per customer, which is 13 times of what a traditional brokerage does. So, I'm very pleased to share with you that currently in 2024, we are tracking our quarter one 2024 budget. We are projecting to 3x our full year revenue year-on-year for the full year of 2024. We are also projecting to adjusted EBITDA breakeven in quarter four 2024. Now, I'm going to now share with you -- everyone likes to achieve breakeven especially for tech startups like ours. But how exactly are we going to achieve that? We have three key drivers. The first of all is aggressive top funnel growth. We're going to increase our condo acquisitions and units under management of Ohmyhome Property Management. What is the difference? Why are we talking about condo units? In Singapore there are HDB units, which are government housing, which is 80% of most Singaporeans are staying in government housing. This is an area that Ohmyhome is very strong in terms of transacting. And then there's also about 300,000 to 400,000 units of condo, which are private properties like multifamily housing, which are worth about anywhere between 5 to 10 times more than a HDB. So, in terms of the transaction revenue, the potential renovation revenue is worth a lot more to us, but the cost of acquisition traditionally will be very expensive as well. So, we're going to share with you how we have acquired this condo customer database immediately via our acquisition last year. We will also increase our top funnel growth by increase in B2B partnerships to grow new funnels of customer acquisition. Allow me to take you through our acquisition of a property management company in October last year, which we have rebranded into Ohmyhome Property Management, a tech-enabled property management company in Singapore. There are a few amazing things about Ohmyhome Property Management. First and foremost, it is a recurring revenue stream. Once you sign a contract to manage a condo, you will be paid month-after-month on a recurring maintenance and management fee. Now, second, it provides us with a direct condo user base. Currently, it provides us with over 6,700 units on the management, which has been growing at 58% CAGR in the three years of inception -- since inception. The revenue per sales transaction that we will get to do if we convert any of the 6,700 users is worth two to four times of revenue -- brokerage revenue than what we previously did in the last seven years. The revenue from the renovation contract is also two times higher. This company, Ohmyhome Property Management is also a mobile-based property management services. I’m very proud to share it’s 100% paperless, which is extremely effective, sustainable in terms of and for being environmentally friendly, but more importantly extremely, extremely efficient. So fast forward, since our acquisition, we actually have been very successful in winning new projects. There's also a lot of smart integration capabilities in IoT solutions. Again, we are one of the first in the country. Traditional property management services have been always very backward and paper base. There's also manpower cost savings, because we use less security guards, cleaners and managing officers. Now the second part is from AI nurturing. Today we’re able to serve customers 24/7. Now when you listen to Jasmine in the testimonial -- Customer Testimonial video just now, you heard things about like, oh, I got a call. I got an update from the agent. Today a lot of our updates that you hear Jasmine talking about, it's not even done by a human. It's done by our AI. It’s done by our chatbots. But customers they don't tell the difference because of the natural language that we're processing and that we're able to turn out to our customers anytime around the clock. This allows us to engage more customers earlier in the stages of their lifecycle. Lastly, we're increasing conversion and market share in the condo market, better nurturing results and higher conversions of customers, and this allows us to increase our market share in a condo market that allows us to derive higher revenue per deal transacted. I'm going to now show you how all of this works in our technology. Here you have the app in terms of capturing customers within the condos, they can book facilities, they can book their tennis courts, they can book any services they want paid and maintenance bills and so forth. All of this information is captured and all of our customers today, whether they are from our condo management, they're from our intercom, they're from our website, now gets to chat with Homer GPT 24/7 across the clock and they get answers accurate, fast, prompt. This is better than any human agent. And lastly, conversions. Anytime a customer feels like exploring, selling, buying renovation, they get to check their property valuation. They get to click and talk to us if they're looking to sell how much can I get, they can calculate and all of this is done on the platform. They can book an agent. There is zero human intervention in this entire process and the customer gets their answers faster than ever before. So this is something we have launched. This is something that we are constantly evolving and building on top of, and also something that we're very, very excited on, because it can continuously allow us to increase customer lifetime value. So you saw in the earlier slide that we have set that we have been -- we are able to achieve potentially up to 13x of a customer lifetime value. Where all of this value? It is actually scattered across this one-stop shop from agent services to mortgage, to ads revenue from our law firms, to renovation spending and to property management. Now this is our near-term growth strategies and we're working extremely hard and on pace to getting to our breakeven. So this is something important to ,us because of course, we want to be highly profitable, we want to be breakeven, we want to be cash flow positive, and you can be rest assured that my team and myself are working relentlessly every single day to achieve that. Our vision, our ambition is huge. We still have a lot of work to do. So we really thank you and appreciate your patience and interest in Ohmyhome. For the longer-term for Ohmyhome, we will continue working towards increasing our market share in existing markets, expanding our geographies, our technology is extremely scalable, we want to acquire companies whose offerings will accelerate our growth, and we also want to increase our service offerings and becoming a property super app. Since the first day of us, I'm starting Ohmyhome, our goal has always to become the most comprehensive and trusted service, property services platform for everyone. We don't want a community where only some people have information. We don't want a community where only some people can have access to good services. Now, bearing in mind, the product we're dealing with here is property. Sometimes properties, actually most of the time properties are the highest asset value for any family. So we want to make sure that we build strong foundations with excellent service and technology backbone and we will continue going towards greater heights. In 2016, we started Ohmyhome. We wanted to prove the concept, we started fundraising as a tech startup, and once we realized that customers loved us in fact by 2017, we became Singapore's number one DIY platform. We started winning awards as a startup, as a proptech startup, and we started data, we started being able to start our own tech team in-house. You can imagine in early years we couldn't afford to do much in-house. With the tech team, with the data team, we started collecting data perfecting our operations and services, which is why you see all of these efficiencies. Now because the data have been collected from early days, this technology of Ohmyhome is not something easily replicated by a newcomer tomorrow. Data of customers, their spending, their loans, their mortgages and all of that, it has to be tracked over time. And in 2021, we were able to have a much more robust tech development team. So we invested heavily into building all of this technology that you see today. MATCH, we have Digital LP, we have HomerAI, we have e-valuation reports. And today, you have chats that are prompt and round the clock. So we built all of this infrastructure. And then last year, we went for our IPO listing. It was a big day for us on the NASDAQ. Race and I, we were as a company, the first female founded company to be listed as a proptech company in the states. America hosts a very dear place in my heart, because I went to school in Michigan, and then I -- my first job in Chicago, I was as a trader, so those of you here who are traders, please know that it's something I love so much as my first job out of school. So I worked in Chicago, and then visited New York from time-to-time, so being able to go back there last year and traveling back to do road shows and to do presentations to investors was an extremely beautiful thing and exciting thing for us. So from here on, we're extremely clear in terms of our near term and longer term goals, which is to increase our market share, acquire companies increasing service offerings with our end goal on still steadfastly remaining the same to be the leading one stop property platform. I'd like to also bring some -- introduce our very experienced board and management team. I'm very, very honored and pleased to be able to work with my sister Race Wong. We've been working together for many years now. So eight years in Ohmyhome and a few years before then in our investor portfolio management company. Both of us are migrants from Malaysia, and we grew up moving homes over 20 times. So you can imagine our passion for real estate and in solving this problem in the market actually runs deep in our blood. We are also grateful towards our Chairman, Mr. David Loh. He is extremely savvy in the real estate market. He is the Chairman of Centurion Corporation. He is also the Director -- Board of Director of Grab Holdings Limited, also listed on NASDAQ as GRAB. Lee Wei Loon, he is the -- our Independent Director, Chair of Audit Committee. He's the CEO of Watchbox Asia, which is currently a unicorn previously from Morgan Stanley Asia. Lim Khoon. He is our Chair of Nomination Committee, partner of Eldan Law. So he's law -- of lawyer himself based in Singapore. And lastly we have Galven Tan. He is our Chair of Compensation Committee, CEO of Knight Frank Singapore and previously from Savills. So our Board of Directors are extremely knowledgeable in the real estate market and have been extremely helpful in terms of providing us guidance and strategies. Now I've come to the end of my presentation. Happy to take your questions and happy to run through any additional slides that you would like us to take you through. Thank you very much.
A - Unidentified Company Representative: Thank you, Rhonda for the presentation. So right now we are going to the Q&A session. So first we need – we do have a analyst Allen, who is coming Maxim Group that will be like to ask a few questions. For the rest of the participants, please leave your questions in the Q&A section. You can simply just click on Q&A and then type it there. And we will answer that shortly. So Allen, ready when you are, we will allow you to talk now.
Allen Klee: Thank you. Can you hear me?
Unidentified Company Representative: Yes, we can hear you.
Allen Klee: Okay, great. Congratulations. This was a very excellent presentation and your outlook is significantly stronger than what I was projecting. So congratulations on your execution. But maybe to start off with you know your projection to triple revenues in 2024. Could you give us a little color on of your three major segments how you feel the degree of where that's going to be coming from relatively? Thank you.
Unidentified Company Representative: All right. Thank you, Alan for your question. Rhonda, if you are okay, I will just take this question onwards. So right now, first of all, currently, our revenue is mainly consisting of brokerage and renovation and then our property management is actually a new segment that's just joined the business. Right? So right now, property brokerage is consisting of around 53% of our total revenue, whereas the renovation constitutes around 27% and the property management has due to rest. So we only acquired a company for less than three months. Sorry, it -- we acquired a company on October, so the results that were reflected in 2003 was only less than three months of the results. So, on an annual basis, they are actually doing quite well and then they are actively growing. And as we shared earlier, so in 2023 -- in 2024, we are actually seeing a recovery of the market in terms of the brokerage business -- brokerage industry here. And on top of that, because the fact that we have invested and launch Homer AI as well as a few other technology products. This has actually helped us expand our top funnel significantly compared to last year. So, what -- and on top of that, of course, what we're seeing is that because we are starting to realize the synergies that we will see from the acquisition, meaning we are tapping into the condominium market which have two to four times of revenue per transaction compared to HDB market, which we were previously in. And secondly, we're also tapping on in -- tapping on to their customers to get more renovation business as well. So, on all these three together, so what we are seeing is likely a -- so what we'll be seeing is that all three segments will be growing significantly, especially for brokerage as well as renovation because of the synergies that we foresee and we are starting to realize.
Allen Klee: Thank you. For the property management business and getting the synergies, how -- could you talk a little about your strategy of getting condominium owners to upsell to either when they're transacting or renovations how you -- I know recently -- in the last two years or so, I bought a condo in the states and when I go to my mailbox every week, there's like different people trying to get me to buy and sell, so how do you distinguish yourself to win that business? Thank you.
Rhonda Wong: So, for this part, I'll take us back to this slide so that you can see if you are currently a resident living in the condominium project, you will be using this app every day because you need to book your tennis courts, your barbecue pits, you need to pay your maintenance bills. If you have a complaint, if you lose -- if you lost your cat, if you want to sell a table, you use this app. So, this is their day-to-day app. And on that app, Ohmyhome is right here on the main screen that's selling all of our different services. So, it is extremely tech-based. We don't actually need a human person to you know go down to talk to the residents every day to encourage them to use the platform. They are already using the platform and if we from time-to-time say Chinese New Year in January, we will go down and we will host an event just to say hi to the residents. You know if they have questions about the app, we'll share with them. To a quick answer to the question of how the condominium residents interact with Ohmyhome, it's already purely on the app that they are already using. So, today as we see synergies just take leads coming through. The leads are coming through all of this clicks over here that you see. So, we get renovation businesses, we get clients looking to sell, clients looking to rent another unit. So, this is how scalable the technology is. So, as we acquire more condominium units and they come in hundreds and thousands for each condominium development, we are able to onboard them automatically on our platform immediately.
Allen Klee: Thank you. You've spoken about how you use technology to try to increase the top of the funnel to increase potential customers. Can you also talk about some partnerships that you've signed that could also help in expanding transactions and geographies?
Rhonda Wong: For sure. I mean, Leo chime in if you can remember some of our partners. I know thus far we have partnered up with e-grocery [ph]. We have partnered up with insurance companies, paint companies. So there's a lot of eco-friendly paint these days. So one of the paint companies we're working with basically has purifying mechanisms when you use their paint in your home. So we are a company for good as well. So we like to promote products that are good for others, but also good for our bottom line. So we have community engagements. We have done a lot of different collaborations across partnerships, even with influencers, to help promote our company as one, as Ohmyhome. We have also promoted our products such as Homer AI. We have also promoted our products purely, for example, just a valuation tool. So in Singapore, the number one news channel is Channel News Asia. So Channel News Asia would frequently invite our company to talk about leadership, to talk about how we grow startups, to talk about the future of business efficiency, tech innovations. So these are the different ways that we keep promoting our company to our community, to the residents. So generally, in Singapore, if you do ask people if they've heard of Ohmyhome, the answer would most likely be yes.
Allen Klee: Thank you. My last question is, as you triple your revenue, and most of it is you have the tech infrastructure set up, can you give us some color or comment on the ability to leverage that as it drops to the bottom line?
Rhonda Wong: Sorry, I didn't catch the first part of the question.
Allen Klee: Just your ability to, as you grow revenue to improve -- to shift to profitability, that your costs potentially don't grow as fast as revenues.
Rhonda Wong: Oh, for sure, Allen. So costs don't grow as fast as revenue in our future. The reason is because you have to invest a lot of -- our past investments have to go a lot into the technology team. They don't turn into revenue immediately. In fact, they almost never do turn into revenue immediately. So all of these investments over the last seven years is the results that you see today, where if we build a valuation tool, for example, whether one person uses it or 1,000 people uses it, it actually has already cost us the same amount of dollars to build it. So today with Homer AI, for the first person to engage with Homer, to use Homer, until today where we have the 10,000 person using Homer, the product cost has already been done. So the leading up cost in the future would be further innovations and enhancement. But you shouldn't expect that to cost as much as the initial build-up of the entire technology. So today, what we're looking at as we work towards break-even is definitely to keep our cost structure, maintain it, lower it and then to expand our top line. Our gross margins across our products and revenue streams are quite strong. Generally, we are looking at about 20% to 50%. So we're not too concerned about the gross profit or the product's business model. We're more concerned about making sure that we can scale up, reach more customers. And then naturally, this is actually a very profitable business model.
Allen Klee: Thank you. Congratulations again.
Rhonda Wong: Thank you Allen for joining us.
Unidentified Company Representative: Thank you, Allen. So now I’ll move on to the rest of the questions that's on the list. So we have a few questions, one is coming from Amit [ph]. Would you share Insider holding updates? So regarding this, so while we do have updates on our current Insiders, so for Insiders, all of their filings will be done via 13G filings by themselves respectively, usually every three months or so. So with that you will be able to access it on various public platforms, at the same time every time we do presentation, we will actually update the slides that talked about our current shareholding structure. So I'll be sure to follow-up on any future presentations as well. Okay. So for the next questions coming from Tyrese [ph], is there a way for investors to help build the company and get paid for it? Rhonda, would you like to take this question?
Rhonda Wong: We love to hear from you. Let us know how you can help us build our company. We welcome that, but we're also as we just mentioned, we're keeping our cost structure low. So getting paid for it will be a separate discussion. But please get in touch with us. We have our IR page. We have LinkedIn. We have Twitter. Please get in touch with us. Bill [ph], if it's okay, can you share our IR page link with everyone on the chat?
Unidentified Company Representative: Sure. I will.
Rhonda Wong: So, thank you very much for your interest. For Jeremy [ph], are there any future plans for another securities offering in 2024? There are no plans for now, right?
Unidentified Company Representative: No, currently we do not have plans to have another security offerings.
Rhonda Wong: Yeah, our full time goal is really just to do more business, make more money, breakeven. And, Robert [ph], thank you very much for your kind comments. I understand your question is that a lot of companies in tech, they kind of -- tech costs can become a sinkhole, because we keep building more and more, does Board have tech expertise. So we learn from a tech startup himself. Well, he is the one with tech expertise and business running in terms of a startup experience, the rest of the Board are very experienced in terms of running profitable companies. So that is actually the skillset that is extremely important for us to be cautious, as you mentioned not to keep spending on technology. Unfortunately in the past or fortunately, we had to do so because otherwise we won't be able to achieve the seven days efficiency. We won't be able to achieve the 13x efficiency for our agents. We also won't be able to sell 73% of our properties at higher than market average prices. As a tech startup, as a tech firm, as a property tech company that's leading in our market, we do need to avoid being traditional brokerage. And it's not that we don't think traditional brokerage has no strengths, it's more that it is very difficult to scale if we require human intervention off our every step of the way. So I think one thing we can assure you that we're on the same page in the sense that we're not looking to continuously invest into technology for the sake of it. We only invest into technology because we put customers first in terms of their experience when it comes to property transactions. But customers in property transactions, they do not need the latest final trending thing. So, we don't need to be Instagram or Tiktok, for example. We just need to make sure that when it comes to transaction, what we have is the best solution for them. Today, what we have is the best solution in our market and we will continue to maintain that -- we will continue to maintain on being their highest rated favorite company in property transaction in our market. And we will continue to get more people to get to know us so that we can expand our market share. So that is definitely our key focus for now and for the year. In the next few weeks, we will actually be sharing with you a business update that we'll be very happy to do. As a CEO of the company, I always love to obviously, be able to bring you better news. And we want you to know that we're grateful for you as our shareholders because of your belief in our company. This keeps us going. This gives us momentum and encouragement to keep growing our company. So thank you very much all for joining us today.
Unidentified Company Representative: Nice. Thank you, Rhonda. We have some other questions. One question is regarding whether we have any short-term acquisition plan? So to answer this question, currently, we are focused on achieving to get breakeven towards the end of the year. We are also achieving on aggressive growth of the company. However, we do not exclude the possibility that if there is really a good synergistic acquisition that may come onto the table we will consider it seriously and then we will explore whether there's any internal or external funding that may be required, that will really depend on the size as well as the nature of the potential acquisition. And separately, we also have another question that asked. When do we estimate the company will be profitable? And how much debt do we have? So, as we explained in the previous slides, we will expecting to achieve adjusted EBITDA breakeven in Q4. And with regards to how much debt do we have? Currently, -- allow me to just share quick slide. So currently, for our balance sheet we have an asset of USD 7.9 million and then our total liability sits at around USD 4.8 million.
Unidentified Company Representative: All right. I think that's the end of all the questions that we have. Again, thank you everyone for your well wishes. And again, we would like to let everyone know one note that there will be a Q1 business update to be announced soon. So please stay tuned and follow our various social media including our Instagram, our Facebook, watch our YouTube as well as go on to twitter.com [ph] to follow our Twitter too. For more information, you can visit our company website www.ohmyhome.com and our Investor Relations website, ir.ohmyhome.com. And our email for Investor Relations is ir@ohmyhome.com. All right. Thank you everyone and that will be the end of our presentation. After this we will upload a recording of this session as far as the presentation material on our website. You may be able to download and refer to it later. Thank you everyone. And have a great day.
Rhonda Wong: Thank you